Operator: Good day, ladies and gentlemen and welcome to the Churchill Downs Incorporated 2021 Second Quarter Earnings Conference Call.  As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Mr. Nick Zangari, Vice President, Treasury and Investor Relations.
Nick Zangari: Thank you, Katrina. Good morning and welcome to our second quarter 2021 earnings conference call. After the company’s prepared remarks, we will open the call for your questions. The company’s 2021 second quarter business results were released yesterday afternoon. A copy of this release announcing results and other financial and statistical information about the period to be presented in this conference call, including information required by Regulation G, is available at the section of the company’s website titled News, located at churchilldownsincorporated.com as well as in the website’s Investors section.
Bill Carstanjen: Thanks Nick. Good morning, everyone. With me today are several members of our team, including Bill Mudd, our President and Chief Operating Officer; Marcia Dall, our Chief Financial Officer; and Brad Blackwell, our General Counsel. I will provide brief comments on our second quarter performance and then I will share some updates on our capital investment plans for Churchill Downs, Derby City Gaming, and our other growth initiatives. After my comments, Marcia will provide more detail on our second quarter performance. Then we will open up the call for questions. Regarding our second quarter results, overall, we delivered the highest net revenue and highest adjusted EBITDA for the second quarter that we have ever generated in any quarter in the history of our company despite running the 147th Kentucky Derby and operating our gaming properties with a variety of COVID-related restrictions. We were very pleased with the overall results of the Kentucky Derby, which we ran under significant state mandated capacity restrictions. Instead of our typical 150,000 to 170,000 fans, we welcomed approximately 52,000 back to Churchill Downs Racetrack. At the time of its running on the first Saturday in May, our event represented the largest number of fans to attend a sporting event in the United States in 2021. As you saw in the press release that we issued after the Derby, wagering from all sources on the Derby Day program was up 85% to $233 million and on the Derby race itself, was up 96% to $155 million compared to 2020. This was not quite back to the previous record set in 2019, but was very close and still represents the second best all-sources wagering numbers of all time. Given the capacity restrictions at Churchill Downs Racetrack and at brick-and-mortar facilities across the country, we were very, very pleased with that.
Marcia Dall: Thanks, Bill, and good morning, everyone. I will begin with some insights into our second quarter financial results and then I will provide an update on our capital management plans. We are very pleased with our second quarter financial results and with the growth plans that are underway to transform our company and fuel strong growth in the coming years. Our team delivered record net revenue and record adjusted EBITDA on a consolidated basis in the second quarter. More importantly, our team is on track to deliver the highest level of net revenue and the highest level of adjusted EBITDA for the total year that our company has ever generated. Turning to our three business segments, our Live and Historical Racing segment generated $191 million of net revenue and $98 million of adjusted EBITDA in the second quarter. Our Churchill Downs team were in a successful 147th Kentucky Oaks and Derby despite capacity restrictions, which limited reserve seating. We appreciate all the fans that waited on the races that week and the support of our sponsors as well as NBC. Although ticketing revenue for Derby Week is the primary driver of our net revenue and adjusted EBITDA, wagering expansion of sponsorships and the broadcast rights for the Derby are also important components of our adjusted EBITDA growth. The three new multiyear projects at Churchill Downs Racetrack will significantly improve the existing venue, upgrade amenities and provide a unique, all-inclusive experience for our guests, all of which will drive increased pricing. The Homestretch Club and Turn 1 expansion projects will add 1,750 premium reserve seats by May 2023 and will include additional personal seat licenses, allowing us to further segment our ticket pricing. These new areas will also provide the opportunity to expand our sponsorships in the coming years. The Paddock project will also improve and elevate the experience for all of our patrons. I’m personally very excited for the transformation that will occur over the next 3 years at Churchill Downs Racetrack as we prepare for the 150th running of Kentucky Derby in May 2024. These three multiyear projects are a very capital-efficient way for us to expand this iconic asset and to create strong long-term shareholder returns. Turning to our HRM properties in the segment, nearly third of the $95 million of growth in adjusted EBITDA from this segment was driven by our Derby City Gaming and Oak Grove HRM properties in Kentucky. Derby City Gaming performance continues to exceed our expectations, delivering record net revenue, adjusted EBITDA and margins for the second quarter. The continued strong performance at Derby City Gaming clearly supports the business case for expansion of this property in the coming year. This is only the third full quarter that Oak Grove has been in operation and the property is performing ahead of our expectations. We believe Oak Grove will deliver strong growth in adjusted EBITDA as we expand our market reach within the Nashville communities. Turning to our TwinSpires segment, adjusted EBITDA for the quarter from our TwinSpires Horseracing business declined $8 million compared to second quarter last year. The majority of this decline is related to the timing of user acquisition spending and bonuses for existing customers. We spend more on customer acquisition around Derby Week than any other time of the year because TwinSpires is able to market more efficiently during Derby Week. And as a result, we are able to significantly reduce the cost of acquisition of a large cohort of people who like to wager on horseracing. We were able to deploy more marketing dollars than ever for this year’s Derby, and the payback is still projected to be under 1 year. While this is a drag on 2021 profitability, we will realize the benefits of this spending over the next three to four quarters. Our TwinSpires Horseracing business benefited from a 9% increase in handle, primarily because of the timing of Derby Week and because the Preakness was run during its typical second quarter time frame. As Bill mentioned, TwinSpires delivered record handle on the Derby Day program as well as the Derby race. Some customers returned to brick-and-mortar properties to wager in the second quarter of 2021. However, we expect that the penetration of online wagering on horseracing will remain elevated from previous years, albeit not at the same level it was at in the second quarter of 2020, when most brick-and-mortar betting options for horseracing were not open due to the COVID-19 pandemic. Regarding sports and online casino, the business generated a loss of $11 million in the quarter due to marketing and promotional activities as we rolled out our rebranded TwinSpires online app in Pennsylvania, Indiana and Colorado. Now turning to our Gaming segment, because all of our gaming properties were closed for some portion of the second quarter last year, my comments will provide quarterly sequential comparisons in comparison to the second quarter of 2019, where appropriate to highlight how successful the second quarter of this year was for the Gaming segment. We are very pleased with the performance of all of our gaming properties in the second quarter. Our team delivered record net revenue from our wholly-owned casinos and record adjusted EBITDA from our entire gaming portfolio of assets. We were pleased with the 22% sequential growth in net revenue from first quarter 2021 to second quarter 2021 for our wholly owned casinos. We are also pleased with the 46% increase in adjusted EBITDA and the 3.6 percentage point margin expansion. We have seen continued strong demand and generally disciplined competitive behavior in our markets, a dynamic that has continued into July. Compared to the second quarter of 2019, net revenues increased 5%, adjusted EBITDA increased $44 million or 58%, and our wholly owned casino property margins expanded by over 10 percentage points. Given our strong cost controls, we believe that our margins will likely remain elevated compared to the prior years for the foreseeable future. We were especially pleased with the performance of Rivers Des Plaines and Miami Valley Gaming, which collectively contributed nearly half of the $122 million of adjusted EBITDA growth for the Gaming segment when compared to the prior year quarter and more than half of the $44 million of adjusted EBITDA growth compared to the second quarter of 2019. Both delivered record net revenue, adjusted EBITDA and margins as well as significant margin expansion compared to the same quarter in 2019. These two properties also distributed a combined $25 million of cash to us in the second quarter as the properties returned to generating significant operating cash flow. We believe the expansion at Rivers Des Plaines and the ongoing growth at all of our gaming properties will fuel our adjusted – our growth in adjusted EBITDA as well as operating cash flow in the coming years. Turning to capital management, regarding project capital, we have spent approximately $16 million on project capital in the first half of 2021, of which more than half was spent finishing the Oak Grove facility. The balance of the project capital has been spent at Churchill Downs Racetrack and for site preparation at Turfway Park. We anticipate spending $130 million to $140 million on project capital for the full year 2021, of which approximately half is planned for the build-out of the Turfway Park HRM facility and a few ongoing projects at Oak Grove and Newport. The remaining capital spending is primarily for the multiyear capital expansion projects at Churchill Downs Racetrack as well as the expansion of HRM machines and facility enhancements to capture the HRM opportunity in Louisiana. We have spent approximately $14 million on maintenance capital in the first half of 2021, primarily related to Churchill Downs racetrack and improvements to our TwinSpires horseracing platform. We now anticipate spending $45 million to $55 million for maintenance capital in 2021, which includes $10 million for the new turf course at Churchill Downs Racetrack, new slots and other maintenance improvement projects for our gaming and HRM properties and ongoing improvements to our TwinSpires horseracing platform. Now regarding our debt and leverage positions, at the end of June 2021, we had net leverage of 3.0x, reflecting the substantial improvement in our operating performance that increased our trailing 12 months adjusted EBITDA. The waiver period for both of our revolvers maintenance covenants ended yesterday with our second quarter filing. We were pleased that although we had the wavier in place, we met our revolver covenants through the entire waiver period. We appreciate the support of our bank group during this period of time. We anticipate that our net leverage will continue to decrease over the balance of the year. We have plenty of debt capacity and flexibility, given our low leverage, and strong operating cash flow to fund the capital investment projects that we have shared today that we believe will create strong earnings growth in the coming years. We’re also in the process of monetizing the Arlington real estate and excess land at Calder, which will provide significant cash to reinvest in our business to pursue strategic acquisitions or to return to our shareholders. As Bill stated, the building blocks that we’ve put in place to support the ongoing growth of our company are real and tangible. We believe our continued long-term strategic focus on growth, including acquiring quality properties to add to our unique portfolio of assets, investing strategically in our existing properties, along with the thoughtful management of our balance sheet and access to capital, will provide significant growth in adjusted EBITDA and free cash flow in the coming years. All of this will enable us to deliver strong long-term shareholder returns and to continue to return capital to our shareholders in the form of dividends and strategic share repurchases. With that, I will turn the call back over to Bill so that he can open the call for questions. Bill?
Bill Carstanjen: Thank you, Marcia. At this point, we would like to open up the call for questions.
Operator:  Our first question is from Shaun Kelley from Bank of America. Your line is open.
Shaun Kelley: Hi, good morning everyone. I just wanted to maybe start, given all the capital expansion opportunities, if we could just drill a little bit further. You guys have given a lot of color about the different projects and the time lines. Wondering if you could just talk at a high level about ROIs and a little bit of your expectation for kind of which projects will take a little bit more time to ramp versus which ones are going to be a little bit more of an immediate – kind of an immediate payback?
Bill Carstanjen: Sure. Happy to address that. So first, when it comes to Churchill Downs Racetrack, we usually target returns of – in the 6% to 8% range. So if you want to back into the expected EBITDA that we think when the project reaches maturity, we’re really building to multiples that are 5x to 6x to 8x. We’ve often beaten that with Churchill Downs Racetrack, so that’s given us more confidence with projects for the facility. Generally, this group of projects is right in our sweet spot. We really understand the customer demand and the customer feedback with respect to these kind of products. And we really understand the area where these customers will be and have lots of experience modeling what to expect. So generally, when we open a project, and we covered some of the timing during the initial commentary, the Homestretch Club will be open by next Derby, the first turn will be opened by the Derby after that, 2023, and then the paddock project, which is in the earlier design phase, is targeted to open in 2024. Generally, in the first year, the customer doesn’t know the product, so it’s hard to sell the product based on experience because they haven’t had the experience yet. It’s a new product. But I have to say, having been here a long time and worked on a lot of projects, usually, the customer response is better than we really respect – really expect, even though there is no one out there to sell it by word of mouth from having actually experienced the hospitality because they haven’t opened yet. But those things said, obviously, word of mouth is an important selling point. So generally, the second year sales and the third year sales are even better. But I’d also, I guess, finish with respect to that question with the observation is these projects for Churchill Downs Racetrack are exactly in our sweet spot. This is exactly what our team has deeply experienced at doing, and these are exactly the kind of projects we’ve done in the past. So we have a fairly good degree of confidence with respect to the construction process, with respect to the sales cycle and with respect to the EBITDA generation once the project reaches maturities.
Shaun Kelley: Great. And then maybe just as my follow-up. You gave some color on some of the investments being made in TwinSpires, particularly for the launches of some of the new states as you kind of move to the new branding. Could you just give us a little bit more color on the expectations for that going forward? When do you start to expect to see maybe some lift on the market share front or is there further investment in marketing that needs to be made after the launch process? Just maybe help us think about investment for the back half, especially going into NFL, and then more importantly, how you expect maybe that to operate over the next couple of years as you start to gain traction there?
Bill Carstanjen: Philosophically, we did not want to focus on market share because generally, in that market, we haven’t been comfortable with what the competitors are paying for or what the customers are paying – or what the competitors are paying to acquire customers. So generally, we are not over-incenting our teams to acquire market share and acquire customers because we don’t see a lot of that customer acquisition as long-term profitable. So for us, we’re building it methodically and carefully so that we have the right cost structure and the right DNA for how to run the business. And then as some of the noise that we think is currently market – in the market settles down, we will be able to better assess how to best maximize that business for our company. With respect to the upcoming football season, yes, I mean I think we already know enough to say that online sports wagering is a test cyclicality. It has seasonality to it and football, college and professional, is a really big part of the seasonality. So we think some of our improvements and how we operate that business are going to be a little opaque just because we’re heading into the customer acquisition portion of the year. So we will balance those things. But in general, we think customer acquisition costs will consume some of our operational improvements as we head into football season. But again, you can trust with our company, we’re not acquiring customers unless we think we have a plan to be profitable with respect to those customers over the long-term.
Shaun Kelley: Thank you very much.
Operator: Our next question is from David Katz from Jefferies. Your line is open.
David Katz: Hi, good morning everyone. I wanted to just hone in on one detail which was I think at one point we may have expected that there would be HRMs at Churchill Downs Racetrack. And I think, Bill, you may have touched on some of the decision not to. Can you elaborate on that just a bit? I’m just curious sort of how those thoughts came together?
Bill Carstanjen: Sure, David. I’m happy to do that. Yes, with the pandemic, like a lot of businesses out there, we reassessed everything. And I know there is always a lot of optimism with respect to the future, and we share that too. But we are always thoughtful and careful about our capital investments and about our business planning. And so when the pandemic hit, we rethought everything, and here are a couple of things we learned. One is Derby City Gaming is even more of a juggernaut than we ever thought. And generally in business, it doesn’t have to be complicated when you have something working well, invest more in what’s working. So Derby City Gaming really powered right through the pandemic, and we need to respect that and invest around that. So that was a better property than we ever could have hoped for, and we’re going to continue to grow it for the benefit of the company and for the benefit of the horse industry and in Kentucky, which also then benefits Churchill. So we saw a lot of strength coming out of Derby City Gaming. And with respect to the track, a lot of our original plans pre-pandemic with respect to the track were very forward-thinking. It involved new business models around very high-end hotel hospitality. We are very excited about it. But with the pandemic, we decided to go back to right now what we really, really know. So, we really reshuffled some of these projects, doesn’t preclude long-term hospitality at Churchill Downs racetrack or any project we might have thought about in the past. But we wanted to reshuffle the deck and focus on what we know works at Churchill Downs. And when it comes to the HRMs, put them where we know it works, which is Derby City Gaming, and take a look at the opportunity that we see coming out of a rebuilding downtown. So, I think as a company, we just did the mature thing, revisited all our projects, reassessed the risk, took what we learned coming out of the pandemic and reshuffled our deck to focus on what we thought would work best and fastest in the near-term. So, as it stands right now, we don’t want to put HRMs at Churchill Downs racetrack. It’s close to Derby City Gaming, and we think it’s a better investment for our company to invest in Derby City Gaming and also with respect to HRMs and also look Downtown. And when it comes to Churchill Downs racetrack, focus on what Churchill Downs racetrack really is best at, which is monetizing the Kentucky Derby.
David Katz: Understood. And I know that you have touched on sort of the digital gaming efforts, but I wanted to go back to that just a little bit, because I clearly understand the intended strategy not to gain market share and to build profitably. I also understand the notion of building a branded integrated enterprise in conjunction with your land-based efforts. At the same time, there are other strategies that others have pursued where it’s done in a JV or it’s done sort of with a separate set of strategy and leadership and so forth. How do you think about sort of those competing issues and the nerve – the decision to sort of build it within Churchill structurally the way it is versus perhaps having it in a kind of a separate channel or a separate enterprise?
Bill Carstanjen: Well, first, I would say that within our digital assets, we have a very, very successful one by anybody’s estimation. It’s the most profitable digital asset in the online gaming space, and that’s TwinSpires. So, there is nothing – with respect to how we approach digital, we know what’s worked for us, and we want to respect those lessons that we think we have learned being in this business for a long time. And at the same time, we study everybody else relentlessly. We constantly are trying to learn from what everybody else is doing and reflect that in our business plans and business processes. But I think with respect to the capital structure, the ownership structure, we have seen some of the different structures that are out there that other companies have done, the SPACs or spin-offs or what have you. But I don’t really think that’s relevant for right now. Right now, it’s build a great business, build a business with the right DNA that’s going to be successful long-term. I think maybe because we have been in the digital business for a while with horseracing and TwinSpires, maybe that puts at a more of a longer term focus, maybe it causes us to think long-term. But with deep respect for the significant competitors that are out there, that have accomplished all kinds of things, we have to do it the way that we know works for us. And for those that have followed our company and invested in us over the long period, I think they have some confidence in us, it’s like we have confidence in ourselves that we will do the right thing with these group of assets. But building it too fast or building it within appropriate marketing, your capital structure in the end isn’t going to fix that. It isn’t going to change that and it isn’t going to fix that. So, our focus as a team is build the asset correctly. And over time, we will have the best strategy for us for how to maximize its value to Churchill Downs.
David Katz: Okay, alright. Great. Thanks very much.
Operator: Our next question is from Jordan Bender from Macquarie. Your line is open.
Jordan Bender: Good morning. You have alluded to now growing the HRM base at several of your properties on the call. You have approved 7,000 units in the State of Kentucky between the facilities and annexes. As we look out over the next several years, are you – do you anticipate reaching those 7,000 units and will future capital projects be worked towards that?
Bill Carstanjen: Well, we would be the first to tell you that we don’t have a crystal ball, but we always make plans. And the thing I think about our company that we can promise you is that we are always revisiting our plans and seeing what the presence is teaching us about the future. So, I don’t have any comment on ultimately how many HRMs we have in Kentucky or any other place. All I can promise you is that we will learn from our results. And ultimately, the number of machines you have in Kentucky, unlike some jurisdictions, isn’t statutorily driven. You can have as many and you can apply for as many as you need and you want. The regulatory and the legal regime isn’t really designed out to enforce a fixed minimum or maximum. So, we will right size the number of machines we use in the jurisdiction based on how things go and in accordance with our expectations on a return on our invested capital.
Jordan Bender: Okay. Thank you. And then you have touched on it quite a bit on the call. But for TwinSpires, can you talk about the conversion that you have seen from the BetAmerica’s platform and your horseracing platform onto the sports betting, iGaming app in the states that you launched so far? Thank you.
Bill Carstanjen: Say – I just want to make sure I give you a good precise answer. Would you mind just restating that question again? I don’t want to answer a question different than the one you asked.
Jordan Bender: Yes. I am just looking for kind of the conversion that you have seen from the BetAmerica’s platform and your TwinSpires’ horseracing platform on to the sports betting iGaming app so far?
Bill Carstanjen: Well, I think it’s – over the introduction of lots of states, you will see the true power of that, taking what are very strong horseracing customers where really the model is much different than what you see generally in sports wagering. In horseracing, we have very, very good long-term customers that we know a lot about versus the sports wagering – online sports wagering world where we are meeting a lot of new customers and ciphering through and filtering through lots of customers to find good ones. So, the fact that we have a database across a whole bunch of states of very good gaming customers who have been focused on horseracing is definitely an advantage for our company as we deploy other online products into those states. But we are still at a point where we haven’t seen a huge number of states that are open and a huge amount of time in the states that are open to really tell the definitive story of what that database will mean. So, we are in the early days of it, but it’s theoretically, it’s conceptually and it’s actually an advantage to have this database, but that’s something that’s playing out now and will play out over the next number of years. So, I don’t want to characterize it as a success at this point because we got to go out and prove it, and that’s to come in the upcoming quarters and years.
Jordan Bender: Perfect. Thank you.
Operator: Our next question is from Brett Andress from KeyBanc. Your line is open.
Brett Andress: Hi, good morning. Thanks for taking my questions. So, on the Derby City expansion, just the thought process on adding a hotel there, I am just curious how that plays into the future growth of that property and maybe evolution of the customer base there or was it really just as simple as a backdoor way to add hotel capacity around the Derby?
Bill Carstanjen: It’s not focused on adding backdoor capacity, as you called it, for the Derby, although there – certainly, that won’t hurt and certainly that can be an advantage. This is a gaming-driven hotel. It’s modeled after some of the other things we have done in the company, whether you look at what we have done in Oxford or what we are doing in Oak Grove or what we have experienced in Mississippi with our hotels. It’s designed to stretch the market we can reach into so we can reach customers who are further away who have farther to travel. And with respect to our good customers, it can allow them to stay and play longer at our facility. So, it is modeled very, very conservatively based on a gaming hotel proposition. The fact that it might have some benefits being close to Churchill Downs and the Kentucky Derby is gravy. But this is a straight up disciplined application of what we have learned from our hotels at our other properties – at our other gaming facilities in the United States.
Brett Andress: Got it. Alright. And then can you just talk a little bit about the ramp of Oak Grove? I mean, margins continue to gradually step up there. But is there anything in the back half of 2021 or 2022 that are going on at that property that we can start to see that property close the gap with Derby City?
Bill Mudd: Yes. This is Bill Mudd. We are very pleased with the ramp that we are seeing there, clearly ahead of where we had planned internally for the investment into that property. As Bill stated, we are still below 15% penetration in the Nashville market. It’s about an hour drive from the Nashville market. We are growing that database every day. Very pleased with what’s going on, especially, the weekends, Friday, Saturday and Sunday are already at or near where we are – not quite there yet, but we are closing the gap on Derby on the weekends. It’s the early part of the week we got to figure out how to get more people out of that Nashville market and the demographics that make sense for that Monday through Thursday period. So yes, there is clearly much more opportunity to ramp that property and the team is doing a great job doing it.
Brett Andress: Alright. Thank you.
Operator: And our last question is from Joe Stauff from Susquehanna. Your line is open.
Joe Stauff: Thank you. Good morning Bill. Good morning Marcia. Good morning Bill. Couple of questions on TwinSpires, please. I am wondering if you can maybe provide a little bit more commentary on the result of the added kind of bonusing and marketing spend for user growth on TwinSpires? And is there any additional color you can give us? I believe you had said record new player growth. But I was wondering if you could maybe provide a little bit more commentary on what you saw?
Bill Carstanjen: Bill, why don’t you go through some of the stats?
Bill Mudd: Yes, I would be happy to. Comparing to 2020 in the second quarter is a little bit of a misnomer because everything was shutdown in the second quarter of last year. And of course, the Derby didn’t happen in the second quarter of last year. But if you compare to the number of players that we had actively versus second quarter of last year, we were up 150%. If you compare it to the third quarter of last year where we ran the Kentucky Derby, we were up 46% versus the number of players that were happened in that period. And if you go back 2 years and say, well, how do you compare to the second quarter of ‘19, which remember was an all-time record number of handle, we were up 15% in terms of players for that period. So, whenever you think about horseracing and TwinSpires online, it’s much like what you are seeing in online sports betting there. You are taking the expenses in the current period to generate growth in the future. And every year, we get one opportunity on an event like the Derby that’s bigger than any other event in horseracing to deploy large amounts of investment. And every year, we keep pushing more into the marketing spend and realize that we keep getting good returns. So every year, for the last several years, we have increased marketing spend. This year was bigger than any increase we have seen in a long period of time because we did pull back a little bit last year. And we were successfully being able to deploy that. So, it was great to see from that perspective. Hopefully, that answers your question.
Joe Stauff: Yes, that’s very helpful. I appreciate that, Bill. And as we think about just what you have seen in TwinSpires and ADW in general is, obviously, huge growth here over the past four quarters. And I was wondering kind of where it’s – what you have seen thus far, maybe in July out of the TwinSpires ADW in particular? Has it continued similar to the trend in the second quarter? I know Marcia had some commentary, but I was wondering specifically for kind of how it’s trending here thus far in the third quarter?
Bill Mudd: Well, I think in the second quarter, what you saw is we continue to grow TwinSpires. And that was during a period of last year in the second quarter, largely everything was shutdown. So, no one was able to go to a brick-and-mortar wagering facility to place bets on horseracing, be it at a racetrack that was running races because they weren’t allowing patrons ends or an off-track betting facility. This year, you have seen a lot of people start to go back to those facilities and luckily that translated to a lot of growth across the industry and handle. So, we are – the way I would characterize it, the way you think about it is, are we maintaining some of the – two things, are we maintaining people interested in the sport and I think we are. We have seen four quarters in a row of strong growth across the industry anywhere from 38% to 60%, I think, was last year’s fourth quarter. And what we are seeing is about half of those people that went online are staying online. There are some people that want to go put their money through the window. So, we are very happy with where we are. We are growing the entire customer base, and we are also keeping a good percentage of those people that decided to wager online when they can no longer go to brick-and-mortar facilities. And those people that don’t are going back to brick-and-mortar facility. So, I think it’s a win across all parts of the business.
Joe Stauff: That makes sense. And then, Bill, I was wondering what your thoughts were just with respect to your gaming portfolio? And you have – similar to your competitors, you guys have generated huge margin gains. And as the world normalizes, and you think about what you have to add back in terms of non-gaming amenities or more promotions or whatever, what portion or – of that savings you think is more permanent than not?
Bill Carstanjen: Yes, sure. So, I always want to be careful about what’s fact and what’s conjecture. So, what we see right now is not generally tremendous pressure from our competitors to have to restore amenities and excess cost. So, I think the industry – in my opinion, the industry has learned something through this and the industry has become more focused on margins. And the industry was forced to adapt to the circumstances we were in and that we continue to be in with access to workers. We all got to attest a lot of assumptions about how to best operate a casino and what the target margins ought to be. So, I think there has been some learning for our company and some learning for others that I hope will sustain itself over time. Right now, what we see is – makes us had a lot of confidence that we can maintain our margins into the foreseeable future. So, I feel pretty good about that. But that’s what I know. Right now, we don’t see any pressure on margins for the foreseeable future. We think we are going to be operating under a similar paradigm to what we operate in now, and we will keep reevaluating that every quarter. But we certainly think this is a better way to run casinos, and we hope competitors see that too. But we will all get a chance to measure that over time. But we clearly, as a company, are very focused on margins. We are very focused on efficiency. And we like the general trend that our facilities have been able to go on and really, we think that’s been good for the industry as a whole to follow a similar projection.
Joe Stauff: Thanks very much.
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Mr. Bill Carstanjen. Thank you.
Bill Carstanjen: I want to thank you all for your interest in our company and your investment in our company. And I look forward to seeing you all in person when the opportunity affords itself. But in the meantime, we are going to keep doing what we do. So, we appreciate your confidence in us and your guidance, and we are going to go out and execute on these initiatives that we laid out in front of us today. So, thank you very much. Enjoy the weekend. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation, and have a wonderful day. You may all disconnect.